Operator: Good morning, ladies and gentlemen and thank you for standing by. Welcome to the MetroPCS Communications third quarter 2009 conference call. During today’s presentation all participants will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator Instructions) I would now like to turn the conference over to Mr. Keith Terreri, Vice President and Treasurer of MetroPCS; please go ahead sir.
Keith Terreri: Thank you and good morning everyone. Welcome to our third quarter 2009 conference call. Speakers with me this morning are Roger Linquist, our Chairman, President and Chief Executive Officer; Tom Keys our Chief Operating Officer; and Braxton Carter, our Executive Vice President and Chief Financial Officer. The format for today’s call is as follows. First, Roger will provide an overview of our business then Tom will provide an update on a number of operational results and initiatives, and Braxton will review the financial highlights of the third quarter 2009 followed by a question-and-answer session. During today’s call, we will refer to certain non-GAAP financial measures. You reconcile these historical non-GAAP measures to GAAP measures in our earnings release, which is available in the Investor Relations section of our website at www.metropcs.com under the Investor Relations tab. Before I turn the call over to Roger, I want to remind you that certain information that we will discuss in this conference call may constitute forward-looking statements within the meaning of Federal Securities laws. Words such as believes, anticipates, expects, intends, should, could, would, estimates, projects and other similar expressions typically identify forward-looking statements. Forward-looking statements involve risks and uncertainties that could cause actual results or the timing of events to differ materially from those made in the forward-looking statements. We cannot assure you that the forward-looking statements discussed on this conference call will be attained. Our forward-looking statements are also subject to the risk factors described in our filings with the Securities and Exchange Commission, and we encourage you to review them. We also like to remind you that the results for the third quarter may not be reflective of results for any subsequent period or the entire year. Also, I would like to remind everyone of our new segment reporting format. Our third quarter results reflect core markets, which are comprised of all our operating markets with the exception of our northeast market segment, which includes the Philadelphia, New York City and Boston Metropolitan areas. The change in competition of our segments became effective on January 1, 2009 we file the current report on Form 8-K on June 9, 2009, which retrospectively addressed our 2008 financial and operational results to reflect the change. We encourage you to review the 8-K. For anyone listening to a tape to webcast replay or reviewing a written transcript of today’s call, please note all the information presented, including our re-information and updated guidance for 2009 is current only as of November 5, 2009 it should be considered valid only as of November 5, 2009 regardless of the date reviewed or replayed. MetroPCS disclaims any intention or obligation to revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. The company does not plan to update or reaffirm guidance, except through formal public disclosure pursuant to Regulation FD. Certain terms used in today’s call are registered trademarks in MetroPCS. I hope by now you’ve had a chance to review our earnings release issued this morning, with the financial and operational results for the third quarter 2009. I would encourage everyone to read our earnings release in conjunction with the information discussed in this call, along with previous SEC filings. We intend to file our Quarterly Report on Form 10-Q for the period ended September 31, 2009 by Monday, November 9. At this time, I’d like to turn the call over to our Chairman, President and CEO, Roger Linquist.
Roger Linquist: Good morning everyone and thank you for joining us. I would like to start today’s call with the review of the 2009 results and then discuss why I believe our business ahead. I would like to take a moment and state that we delivered strong financial results this quarter; we were disappointed with this quarter subscriber growth. Our gross additions and particularly our net additions were below our expectations. Over the last few years we helped redefine the wireless industry by pioneering a no contract, unlimited flexible wireless service experience. Understandably our success has encouraged the other competitors to enter the no contract, unlimited wireless service segment and a substantial direct competitive environment has materialized. These new competitors are in fact the traditional the post pay carriers where making possible the resale of unlimited minutes in bytes through [MVMLs] However, the post paid carries will continue to be sensitive to cannibalizing their core business and consequently we believe, motive as restricted there are no contract segment resellers. To reselling basic services such as talk, text and web. In that regard, we have both desire and the capability to offer the most value and a wide choice of wireless services and handsets for our subscribers now and in the future. We serve over 6.3 million subscribers today and we provide service to over 11,000 towns and cities. Moreover, we are the first U.S. wireless company offering unlimited international calling plan. Regardless of what type of innovative services we intend to offer, we expect to continue to deliver attractive margins enabled by the industry leading low cost structure. We believe, we can deal with this economic and competitive environment in all elements of our business system. Going forward, additional adjustments will be required they created the subscriber perception of exceptional service value that we built our business on. While we believe, we’re best dealer in town the competitive landscape has changed since beginning of the year. The consumer now has more competitively priced unlimited no contract service options. Further, the ability to provide nationwide service, has become a basic requirement, which is why we have and we’ll continue to add roaming partners. As pioneers and leaders in the unlimited no contract wireless segment, we will continue to make adjustment to differentiate our services and strengthen the value proposition to the subscribers and that has been the source of our successful growth. As we continue to evolve the business, we recognize the need for change. This quarter’s weakness, and growths and net additions are evidence of the increasing challenging economic and competitive environments. The effective is difficult in economic environment are more prudence when view from the unemployment statistics in many of our major markets. Nevertheless, we believe the opportunity for subscriber growth exists both within our core markets as well as a significant opportunity within our Northeast markets. In August, this year, we enhance the affordability of our unlimited voice text, social networking, navigation and other web browsing services to strengthen our proposition to subscribers. It’s becoming clear that early adopters, driving the smartphone revolution and the iPhone and its applications signaled a successful transformation of cell phone into an application centric mobile web browsing appliance. In this environment, it is important to have a continuous plan for differentiation. Through the addition of attractive and affordable services that provide a rich choice for the customer. I would also like to point out that even with the service price adjustments we made in August we still produced record adjusted EBITDA results in third quarter. In September, we announced the selection of the LTE vendors for our initial launch of 4G services. The internet is going mobile and our 4G LTE network, which Ericsson is the infrastructure provider will enable to dual-mode LTE CDMA smartphone offering from Samsung. Throughout 2010, we find aggressively and economically build the 4G network and look forward to our initial launch beginning in second half of 2010. We believe our move to 4G enables us relying on an important improvement in data throughput when compared to three 3G networks and further enables us to manage our spectrum in the most cost effective manner. Furthermore, we believe carriers around the world are likely to accelerate their 4G LTE bill programs, as they seek to capture the significant performance and economic benefits available and thereby strengthen the 4G ecosystem. As the web increasingly goes mobile we also foresee a huge opportunity for the wireless industry with the potential for subscriber penetration rates to exceed multiples of 100%. MetroPCS in our 4G environment can manage our network of multiple devices including the smartphones as well as other wireless devices. Therefore, further strengthening is positioned in the no contract sector. Although the transition period to reach in all IP, broad brand infrastructure will take time. It’s important from a cost and spectrum management standpoint, to minimize the area interface technology steps such as EVDO that bring incremental cost with legacy subscribers and implicit spectrum allocation requirements. Increased competition in the rapidly growing unlimited no contract segment is not unexpected. For us, it is about measuring our actions in light a rapidly evolving technology, getting it right and making adjustments that differentiate us while driving continued growth and profitability. What has been unexpected is the depth and duration of this economic downdraft. This economy is simply about tightening family budgets, but about rationing money among family’s unemployed wage earners that have diminished projects for new jobs. We structure our company on the design to cost principles to be the low cost provider, which provide significant competitive differentiation. Certainly in times of rapid technological change and competitive entrance the low cost provider, is in the best position to not only whether this storm, but to shape the future growth in the industry. We intend to be aggressive with our execution and firmly believe that the no contract service model will be the key growth in the wireless service industry, particularly when LTE becomes the universal area interface technology. Now, I’ll like to hand it over to Tom to discuss third quarter operations.
Tom Keys: Thanks Roger and good morning. As Roger discussed while we delivered solid financial results this quarter. Our third quarter gross and net subscriber additions came in below our expectations. We are looking at all elements to the business to ensure that we are doing the right thing in this environment to drive profitable growth. The unlimited no contract wireless space has been and continues to be a dynamic market place. Third party studies continue to conclude the pan advance and prepay continue to be the significant areas of growth within the wireless space. We believe that the economy will drive consumers search their value for demand and quality. With the continued growth and interest in our space competition has increased over the past few quarters on limited offerings have been introduced by other operators, looking to enter this growing market. Among other things as week economy coupled with the increased competitive environment and the seasonality of the business in the third quarter has resulted in our week net add performance. Well our total share physician in Q3 was solid. We are continuing to work on consumer messaging, product offerings and customer support activities to provide a better end to end experience. Expect to see upcoming announcements that support this. Looking at churn and gross additions during the third quarter, churn was flat on a sequential basis that was up year-over-year. Churn continues to be higher than we’d like and we are reviewing ways to lower churn overtime. We are working on internal changes to increase overall customers satisfaction that we believe will lead to greater retention. Gross additions in the quarter were up on year-over-year, but were below our internal expectations. During the quarter we saw some weak this gross additions we believe as a result of week economy increase competition and upward price adjustments we implemented on lower cost handsets. In early August we had additional value to our service plans, specifically in our $40 and $45 plans. These adjustments were intended to meet competition. Additionally we continue to see strong interest in our recently launched unlimited international calling plan. This product is an example of our continued innovation as well as new feature that many of our existing users can take advantage off. As the unlimited space in the wireless industry as become more crowed, we continue to aggressively position MetroPCS to attract and retain customers. Recently we began three Q4 promotions. A family plans offering four lines for $100, a $30 service plan, which includes nationwide talk and text and third a mail in rebate program on selected handsets. Our handset line up continues to evolve we are working on our 2010 line up which will see a strong emphasis on QWERTY, touch QWERTY, smartphone and other featured handsets. Recently we launched our windows based mobile handset. The Samsung code which is been well received. We continue revolution of our handset line up will allow for increase and social networking and location based applications as we transition to our 4G network. As a result we believe the demand will increase for devices that can handle higher end applications. As I mentioned we have fourth quarter promotions we recently launched. Along with the enhancements we made to our service plans in August and with the new handset line up for the holidays. We significantly enhance the attractiveness and affordability of our service for our customers. We believe reducing churn is important. We are in a tough economic time, some of our customers are finding it difficult to make the payments each month, which result in churn. In order to take it customer retention and increased customer satisfaction were valuating the development of programs to help our customers continue their service. Given national wireless penetration rate, we recognized at a portion of our customers have likely had a prior wireless provider and given the tough economy have been compelled to search out more affordable prices while meeting the service needs. Another potential opportunity to increase customer satisfaction is developing a seamless nationwide service plan. As you know we recently signed roaming agreements that expanded the nationwide coverage. Finally, we are reviewing our current advertising programs and campaigns to make sure we are making additional opportunity to educate not only our new customers, but also our existing customers on the increasing value of expanding national coverage as well as newly developed products and services. With an evolving competitive space it is importantly effectively communicate our tremendous value proposition. We have increased our nationwide coverage footprint. We continue to explore new distribution partners and we understand the need to evolve and execute going forward. With that, I would like to turn the call over to Braxton.
Braxton Carter: Thank you, Tom. Before I get into my discussion of the quarterly results, I would like to emphasize a couple of points for everyone. We reported strong third quarter consolidated adjusted EBITDA results, due to the superior cost structure, our focus on cost control and lower gross additions than planned. As you can see from our results our company has ability to generate positive cash flow, it is a significant differentiator. We believe adjusted EBITDA free cash flow generation, our keys to building long term shareholder value. We have a very strong balance sheet with approximately $1.2 billion in cash in short term investments. We believe our strong financial position and liquidity is also a significant differentiator and will allow us to capitalize on unique opportunities for future growth, as well as evil involving to a 4G network and frankly puts us in the best position to compete with others in our space. Our total leverage was just over four times computed in accordance with the indentures governing our 9.25% senior notes at the ends of September and our net leverage was 2.74 times. Debt maturities in 2013 and ‘14 weighted-average cost to debt for the quarter of below 8.5%, substantially all of our debt fixed by its nature or interest rate swaps and with approximately $1.2 billion in cash and short term investments. We are very well positioned from a balance sheet perspective. I would like to touch on the few of the subscriber metrics. It would be essentially flat on a sequential quarterly basis, but it was up over 100 basis points year-over-year. The increase in churn was related to incremental growth additions of $1.5 million, customers during the nine months ended June 30, 2009 as compared to the same period in 2008, coupled with churn from an increased competition. ARPU under third quarter was up sequentially. Our third quarter of 2009 ARPU was 41.08, up $0.56, when compared $40.52 in the second quarter of 2009. In the third quarter consistent with last quarter, we reclassified approximately $12.5 million from service revenue to equipment revenue. This reclassification was related to the sale of promotionally priced handsets. Similar to last quarter, this is related to the acquisition of the customer and does not affect ongoing service revenue. Please note that we expect now this to reclassification to increase in the fourth quarter due to the promotional handset rebates. While we have seen a third quarter ARPU, the rate plan changes we made in August and fourth quarter promotions will results in downward pressure in ARPU overtime. Our CPGA continues to be the lowest of any facilities based wireless carrier in the U.S. For the third quarter, our CPGA was approximately $154, as compared to $128 in the prior years third quarter. The year-over-year increase in GPGA is due to the continued ramp of our Northeast markets, as well as the effects of increased spending on promotional activities. Lower growth additions in plant as resulted economic headwinds in more competitive environment also impact with CPGA. Our business continues to scale and our CPU continues to be among the lowest in the industry. Our CPU for the quarter was $17.27 as compared to $18.18 in the prior year’s third quarter. This decrease was due primarily to continued cost reduction efforts and the increasing scale of our business, partially offset by expenses related to the recent launches and the ramp up of operations in the Northeast markets and cost associated with our international long distance program. The sequential increase in CPU over the second quarter is primarily related to cost associated with our unlimited international calling product. Consolidated adjusted EBITDA for the third quarter was $272 million, the highest in company’s history. Our consolidated adjusted EBITDA margin for the quarter was approximately 33.5%, compared to 32.9% in the third quarter of 2008. These results were after an adjusted EBITDA burn of approximately $44 million for the third quarter in our Northeast markets. Year-to-date, our Northeast markets have burned 173 million in adjusted EBITDA. Our core market adjusted EBITDA margin was 42.7% compared to 38.9% in the third quarter of 2008. I would like to point out that within our core markets on a year-to-date basis, we have reported adjusted EBITDA up to $878 million, representing adjusted EBITDA growth of approximately 33% when compared to the same period of 2008. I’d like to highlight a few items from our income statement and cash flow statement. In the quarter, on a consolidated basis, our service revenue and cost of service grew 33% and 36% respectively to $812 million and $298 million respectively. The increases are due to a growth of our subscriber database. Our consolidated selling, general and administrative expenses were $138 million for the third quarter of 2009. Representing an increase of approximately $22 million when compared to the year ago quarter. This increase was primarily related to the launch of the Boston and New York metropolitan areas. We generated $313 million in cash from operating activities in the quarter, an increase of approximately $117 million from the prior year’s third quarter. Offsetting this operating cash flow we incurred capital expenditures of approximately $181 million during the quarter. We also generated approximately $74 million in consolidated net income during the third quarter or $0.21 per share. Net income for the quarter includes approximately $18 million relating to the reduction of a state unrecognized tax benefit, associated with expiration of a statue of limitations. Due to MetroPCS’s view that the U.S. economy will continue to experience weakness, at least through the end of the year, and the increased competition in the wireless market, MetroPCS will be reaffirming in part and revising in part our annual guidance for 2009, originally provided by the company on November 5, 2008. Except its reaffirmed or revised, MetroPCS does not provide or reaffirm any operational or financial guidance for fiscal year 2009. For the year ended December 31, 2009, Metro PCS today reaffirms the following guidance as originally provided on November 5, 2008 and reaffirmed on August 6, 2009. MetroPCS currently expects to incur capital expenditures in the range $700 million to $900 million on a consolidated basis from the year ended December 31, 2009, and currently expects to reach free cash flow positive on an unlevered basis unlike 2009. For the year ending December 31, 2009, MetroPCS provides the following updated guidance. MetroPCS currently expects full year net subscriber additions to be in the range of $1 million to $1.2 million. The company currently expects consolidated adjusted EBITDA to be in the range of $850 million $950 million for the year ending December 31, 2009. For the year ending December 31, 2010 MetroPCS does not intend to provide guidance at this time. Given the uncertainty in the economic and competitive environment and pending the developments of MetroPCS’s current and planned marketing and sales initiatives. Thank you. We’ll now move to the Q-and-A, operator.
Operator: (Operator Instructions) Your first question comes from Rich Prentiss - Raymond James. .
Rich Prentiss - Raymond James: First question I’ve got is, within the quarter, I think you’re pleased with where ARPU ended up sequentially, it looks like the international calling plan has well. You talked a little bit about the promotional plans coming out, to family plans more for the $30 service nation wide. Can you talk a little bit about, how long those promotions might stay in place? Are you trying to achieve churn reduction or what exactly are you trying to piece together with those promotions and what do you think the impact on ARPU might be?
Tom Keys: On the promotion front, we actually started those November 1, and we anticipate those to last November and December of this year. On the ARPU front, we’re not at a place where we can publicly make a statement about where we think or looking at this point.
Roger Linquist: I think Rick, what the intent is here is that to create to, shall we say the interest and we don’t expect everybody coming through the door to insist on these programs, but they do, I think deal with what’s important right now, which is in this very difficult economic environment, they are attractive to certain cross section of the population and we want to make sure that we have our share of fresh recruits coming in and looking at this service and they can see the value of our other services that we also promoted.
Rich Prentiss - Raymond James: It’s not necessarily churn reduction, its sounds more like probably gross ad production maybe and then get people in the store.
Roger Linquist: I really think its both, because I would say primarily we are looking at the so called fresh recruits, but I mean there will a balance of that.
Tom Keys: I thin the final point here, we’re not providing forward-looking guidance, but we have clearly said that these will cause some pressure on ARPU, other sales and marketing initiatives that we have done will cost pressure on ARPU, but in think that the third clearly demonstrates that MetroPCS is focused on being innovative in our marketing and service offerings and that’s margins and EBITDA growth are very, very important. So that’s, I think the appropriate way to look at it.
Rich Prentiss - Raymond James: Then Roger, you mentioned nationwide, it’s kind of basic requirement now, because you’re adding and continuing looking to add roaming partners. How important is the nationwide brand to have, as we look at Sprint, Boost out there, Virgin Mobile coming in the Sprint sometime soon. Is it important to have a nationwide brand as well as a nationwide footprint for roaming provision type services?
Roger Linquist: I guess our view Rick, is that we are adding roaming partners. We think it is about footprint. The other part of the equation means that you can market to a wider population, but I think the key element is being able to provide service, which we now have to a large section of the entire population. So that really is our focused, obviously we can market in areas where we don’t provide the infrastructure and service.
Rich Prentiss - Raymond James: So the footprint is more important in the brand?
Roger Linquist: Footprints are more important to us.
Operator: Your next question comes from David Barden - Banc of America/Merrill Lynch.
David Barden - Banc of America/Merrill Lynch: Braxton, just first on the guidance, the implication for 4Q is somewhere between 45,000, which is down sequentially from the third quarter and 245,000 marketed footprint is up 50% year-over-year in your brand new market. I guess, when I think about the economic environment, it doesn’t sound like it’s probably changed that much in the next 90 days. Are you trying to just lower expectations or subsequent to the price cut, has September and October just gone so badly that you really think that it could be this tough in an seasonally better fourth quarter? Then the second, I guess is the question, you got to anticipate which is that if it’s about footprint and it’s about expanding you reach, what is the best reason you guys are not going back to leap to try to create a strategic partnership there? I noticed they expanded their Board added some new independent Directors, I imagine that might be more open to that these days that they would have been in past, if you could comment on that it would be helpful? Thanks.
Braxton Carter: David, I think that the appropriate way to look at the guidance for 2009 is that it would be very foolish for MetroPCS to do anything to provide for conservative guidance. There were in the fluid environment from a competitive standpoint and there have been numerous moves over the last six months. Some of things and tests and issues that we are dealing with are very new we need how these initiatives develop. Finally, the economy situation why on a macro business looks like growth is return to the economy, we are still losing jobs and you look at overall MetroPCS, we are mid America. Mid America is still hurting from the current economic environment and our view is that will continue through the fourth quarter. So we are being conservative in the presentation and after the last couple of quarters I am sure you can appreciate why.
Roger Linquist: We personally have no, shall we say, interest in pursuing the transaction you are talking about, and the primary reason right now is that if on some circumstances in the future, there could be an opportunity, obviously we would be open to that, but we have the footprint. The key from our standpoint is we have the coverage, we feel we are beyond the critical mass of a nationwide footprint that is important to our customers, so that to us is the key element.
Operator: Your next question comes from Simon Flannery - Morgan Stanley.
Simon Flannery - Morgan Stanley: Roger, could you expand a little bit on your 4G comments, talk a little bit about what we can expect in terms of are you doing a trial market or two next year, or you’re really out to a broad footprint over a 12 or 18 month period. What are you seeing in terms of cost dilution? Is there much coming in this will do you expect much next year or are you going to be able to sustain margins and capital intensity at that sort levels. Then also you talked about cost side the international, are you comfortable with the usage profile of the international customers or might there be some risk of sort of negative carry on some customers there. Thank you.
Roger Linquist: LTE, we intend to do a rollout across the country. As these markets are built and reach critical mass. This is just the trail. We’ll be building throughout this coming year and as we indicated, it really will be second half before we’ll able to put together a, shall we say the network coverage that we are seeking in at least few early markets, but we’ll building throughout the year. Our hope is to have many of our markets actually turned up in operational and we are focused on the smartphone as opposed to the card and the dongle. We think this is a great opportunity to help differentiate the brand, particularly in our no contract segment. Number two, I guess is the margins that kind of begs the guidance going through next year. As we indicated, we are really focused on the cost control. I can’t emphasize enough that our business was build on the design-to-cost basis and that may not mean a lot to our people, but for us it means that everything we do has a very strong cost element, so we are not cavalier about it. That kind of touches on your third point, which are the international customers; is their section of subside of those that are problematic and will that likely change. I think we’re comfortable their service; it is innovative and we do feel that we this under control.
Operator: Your next question comes from Jason Armstrong - Goldman Sachs.
Jason Armstrong - Goldman Sachs: Maybe just a follow up question on the $30 pricing; you started out in a few markets and moved it sort of more broadly across the base. I guess I can see the logic for extending this in certain areas, but maybe if you can talk about the decision to sort of to do this more broadly. It just seems like maybe there are some markets where we’re very early in a penetration curve, where you potentially didn’t need to go to this level of pricing or alternatively you’ve got big markets with big penetrations stats at this point, where you really sort of risk pricing subs down. So, just how you thought about that holistic in the top probably.
Roger Linquist: I think first of all what we see is here we’re in a holiday season, and there’s the blizzard as they always is, and the promotions and advertising during the fourth quarter. From our standpoint, in order to effectively position ourselves without choking on the advertising and other costs that are normally in runaway mode in the fourth quarter, we chose to use this as a way for new activations only. I’m not sure if that became clear, that we offer this product, and we also see this as a way of simply distinguishing ourselves from what now is a very large number of new competitors, not to speak off only the MVNOs, but as you know others that have entered earlier in the year.
Operator: Your next question comes from Todd Rethemeier - Hudson Square Research.
Todd Rethemeier - Hudson Square Research: If you could just talk a little bit more about the weakness in the growth ads, which I guess there were three reasons you gave for: The economy, the competition, the pricing changes that you made. If you could just rank those three, which do you think was most important? Then related to that, what was the trend in the month-to-month in the quarter?
Tom Keys: I would probably look at the economies number one right now. As we’ve mentioned, I think Braxton alluded to, the loss what you’ll middle America jobs, it’s still going on. It really hasn’t stem inside of our markets as well as nation wide. I think the economy has a pronounced effect on how people allocate their dollars, and as we’ve seen, people have to make really hard choices now. So we think trying to be attractive in the fourth quarter and give customers value is really, really important. Obviously, Roger eluded to the increase MVNOs. It’s in fact we have ground to the MVNOs. Three years ago we had probably more service based MVNOs, today we have more voice and text MVNOs. So I think that is certainly a reality that we look at and we consider as we look at our promotions on pricing in the fourth quarter. So that’s how I would rank it on a one, two basis.
Todd Rethemeier - Hudson Square Research: The trend of gross ads during the month in the third quarter?
Tom Keys: We really don’t report on any trending inside of the quarter.
Operator: Your next question comes from Mike McCormack - JP Morgan.
Mike McCormack - JP Morgan: First just looking at the 4Q guidance, can you give us a sense for the sort of magnitude of impact of maybe grossed out weakness versus higher churn, and then secondly on revised EBITDA, just thinking about if it is in fact a grossed out issue, I’m assuming that’s at least part of it due to competition. Why we wouldn’t see better EBITDA metrics with the lower gross?
Tom Keys: I think Mike; again we want to reiterate that we think that the current prudence I think are extremely conservative on the guidance for 2009. In looking at historical trends on churn, churns does have a seasonal component. Churn is highest in the second and third quarter. Typically it does come down in the four quarter and the first quarter. You also have to look at the aspect that on a trailing 12 month or nine month basis, that we’ve had a significant spike in year-over-year growth, that we’ve been working through the last couple of quarters. We’ve talked on the previous calls and have had closures on that in our public filings, and that has been a very significant driver of the churn. The fortunate parts is, we are working through that spike. On a trailing nine month basis going into this quarter, we had over $1.5 million incremental gross additions, in the trailing nine months before the quarter versus the same trailing nine months of the last year’s quarter, that’s a pretty significant spike. We’ve also talked about how the churn profile is highest in the third month and it takes about 12 months to get down to maturation. So that’s something that’s positive. Now we did clearly say that competition is also having some impact on churn, but to put it in perspective for the third quarter, I think just ball parking it, three quarters of the churn increased year-over-year to 100 basis points. It’s really related to the incremental growth. In the other quarter, it’s related to other factors, again which we think it’s primarily competition. So there are several puts and takes, but I think that gives you a basis to model and to make a conclusion that our guidance on the fourth quarter is really being driven by views of competition, the economy as we’ve noted here and is very gross add sensitive. You are absolutely right, that the gross ads do have a significant impact on the overall profitable of the company. Again doing anything but being conservative and each individual piece of our guidance at this point would be imprudent. I hope that is helpful.
Operator: Your next question comes from Tim Horan - Oppenheimer.
Tim Horan - Oppenheimer: Two questions if you don’t mind. I was just more focused on what customer base you think makes more sense for you kind of target going forward. Might sound like a stupid question, but it seems like Sprint and Tracfone is talking in the middleclass and more suburban areas. It’s curious if you think what niche kind of makes more sense to you going forward? Then secondly on the margins longer term, do you think the overall company can get to where the legacy markets are in terms of profitability? Thank you.
Roger Linquist: Tim I’ll take the first one. In terms of our severable base and who we go after, we really don’t have the discriminating aspect inside of our messaging and branding. We believe that there are certain segments that will probably have a greater opportunity i.e., families, i.e. younger demographics, that believe that things like social networking, navigation, being able to go to places like Mobile MySpace. Even our Hispanic demographic, who uses Univision quite a bit, we think we’re open to every demographic and that’s really not at this terminating aspect. As a retailer, our door swing open for everybody. So we’re constantly working on ways to message to people where we think we have the greatest opportunity to bring in the widest selection of folks. As you’ve seen, we have a variety of rate plans. We have a variety of handsets, and features, and services. So what we’re trying to be is really a wide open area for people to come and shop, and not just to get us into one vertical niche to narrow, and we’ve always tried to be that way.
Tim Horan - Oppenheimer: Clearly you have a choice of marketing dollar and on distribution points, and it’s difficult for the older people. I think your competitive advantage is being a little bit more focused than some of the incumbents?
Roger Linquist: Our distribution is out there today. We are currently trying to evolve that and going forward and we’re always looking for new opportunities to put the product in the marketplace. I think though that what you’re really talking about is the branding message and how we appeal to people? Right now, I think most of us agree that a value message for all consumers, not just in a low demographic, but mid tier, high tier, is something we look about and I think most of us would not agree that if we’re not searching for value, and if we’re not demanding high quality, we’re probably off the mark today as people are putting products out there.
Tim Horan - Oppenheimer: Are you seeing any people maybe trade down from Verizon or AT&T down to your type of service? Have you seen any change in that since the economy has weakened?
Roger Linquist: I would say that all services are the same, they are high quality. So there’s not a real difference in service quite honestly, there’s a difference in contract and no contract and we absolutely believe that you really don’t need a contract there to be a wireless subscriber. We actually think there’s no need to ever have a contract in this space. So that’s the implication on trade down. We think that’s a phenomenon that will continue as it has.
Tom Keys: Let me comment on that, because I think there’s a misperception perhaps, because we offer the widest choice of services of any of the no contract segment players. In fact, if we look forward to 2010, clearly we’ll be in the out store business and we’ll be going there with android type products. So we see that we provide the maximum choice of both services and handsets, and if you look at the price plans, particularly in the $45 price plan, we offer navigation, social networking, and several other services that we feel are really fundamental for everybody else.
Tim Horan - Oppenheimer: Thanks, and then on the long term margin question?
Braxton Carter: I think Tim, the right way to look at this in the context of what we have said today, is that we will continue to be very focused on our cost structure and our cost control. Roger emphasized that that is a significant part and it’s foundational to our strategy and it always has been. Focusing on those basics is very, very important to us. That coupled with our previous comments that there will be ARPU pressure, now we have been very clear about that. So going farther and actually giving guidance on forward margins, again, I hope you can appreciate given the current competitive environment. The economic headwind and the development of a lot of things to we’re working on, we are not in a position to do that.
Operator: Your next question comes from Michael Rollins - Citigroup.
Michael Rollins - Citigroup: If you go back to the trial markets that you tested, the $30 plan. Can you give us some sense of your success in up selling customers and how important it is to customers to get things like full voice mail versus the basic voice mail, picture messaging in web versus just simple texting? If you can give us some sense maybe that mix that would be great. Second question I had for you is more of a strategic question. This actually goes back, Roger maybe some of the paging days on reselling, but what is your thought on actually offering a service for resale versus just simply being a retail company, if some of the resellers are representing incremental competition to your business model. Thanks.
Tom Keys: I think you are referencing Atlanta and Detroit. It was a limited time. We didn’t surround it with a lot of marketing and we tried different elements inside each of the trials, and as we’ve messaged before we will constantly try different plans, different services and then will try to see where we think we get the greatest traction. So by rolling out the trail to all of our market as Roger mentioned, we think in the fourth quarter its important for us to have visibility to be relevant and to give consumers choices, and right now within that choice it centered around value, but once they come into our store, what we are finding is that there is not a mad rush for one product. Our wide variety of products in the portfolio, out wide variety of handsets allow people do many things on their beyond simple voice and text and voice mail. To your point about voice mail, there hasn’t been anybody saying one voice mail product trumps the other and that’s the override in piece of this portion. So it’s really a vehicle to bring into the store to see our products and then from there we give them the widest choice possible, and that’s really what we’re trying to do here.
Roger Linquist: Reseller are effective. If you look at the fact that you don’t really have local distribution and what you’re saying for MVNO is that you’ve companies that have been on paging and you’ve also been dealing with cards that have some present distribution. We feel very comfortable with our local distribution model, and so it’s the national retail and that’s certainly at this point a crowded environment. So really to pick more reseller and to create MVNO for our self is kind of eating your own [young] if you will. We feel we are very comfortable with our local distribution. Obviously that’s a point that can be dynamic going forward, but we are comfortable right now.
Operator: Your next question comes from Romeo Reyes - Jeffries.
Romeo Reyes - Jeffries : I want to follow-up on Tom’s last point here. Historically, there have been companies that have had these big headline promotions. I’m thinking about a company in the U.K. that has voice, video, data for like 30 pounds, it was like three for 30. What they found out is, when they got customers in the store, the customers where in the out going ARPU was some 45, 50 pound, much higher than the headline grabbing three for 30 ARPU. My question to you is, when you look at the point of sale ARPU that you are expecting on this $30 unlimited plan that you are putting out, the headline grabbing number, what is the out going ARPU for those customers. I mean they’re coming in the door? I mean is it something closer to 30, is it something closer to 40, is it something in the middle. Can you give us something along the lines, that will be helpful? Then secondly, as you look at our ARPU as well, when you look at, I think there is international LT product that you launched in June. I think it should have quite a bit of an impact. What was the penetration rate on incremental gross ads and also on your customers and how are you marketing that? Are you just sending a text to your customer? How does that message get into your customer base? Thanks.
Roger Linquist: So the first part is, to your point about when you message something in the swing doors. I think all retailers look to bring interest to their product, and we’ve done that historically very well. In the fourth quarter, as you know there’s an opportunity for contracts to expire in the fourth and first quarter. So we think theirs an opportunity to see new eyes see new people. So by messaging that promotion nationwide, it’s our intent to swing doors. Now when people come in, we have modeled internally through our finance as we always do, various scenarios as to what might be the take rates, but we also continue to train at our stores, at our dealers based upon what are new handset can do, what’s social applications are out there and what rate plans are out there, that people will find the attractive. So what you find is more people will ask questions about the whole portfolio, and there’s not a modeling that we have, that very person who came in that saw an ad for $30 promotion will get ex-amount of ARPU, it’s impossible to do that. It’s more of a collective pool that we look at on a modeling basis, because we have a lot of people coming in that are interested in the promotion. It’s just simply not with they want to get. How the word gets out there? What you’ll find right now in the last part of this quarter is we put a vocational campaign out there that will talk about our family plan and $30 promotion. We do that as you know through a series of outdoor executions at home as well as corolla, and then you’ll see us be on selected media, where we think we have the opportunity to reach people that may not have know us before in the fourth quarter. As you know it’s a crowded environment in the fourth quarter. There is a lot of media dollars spent in wireless advertising and we’re fairly particular of where we place our advertising, where we try to get the eyeballs, for people come into our dealer locations as well as our retail stores. So part of the execution is surrounding distribution with as many points and as many looks that people can get on what our promotions are. It’s a little bit different in the players, because we do use our dollars wisely in most of all of our markets.
Romeo Reyes - Jeffries: Then on international, can you give us any sense of how successful that’s been in terms of penetration rates or ARPU left, or anything like that?
Tom Keys: We definitely said Romeo, that it’s been accretive to ARPU, you got to remember that the ARPU within international subscriber is an amendment to $50, but we don’t going further on the take rates or anything like that.
Romeo Reyes - Jeffries: Just one additional data point or a rather quick question; in the past you’ve talked about three to four quarters to breakeven our new markets. That’s going to reach around three to four quarters; it’s going to be Q1 of 2010 on I guess the Northeast markets Boston and New York. Are you comfortable that your breakeven point has not shifted out materially on new launches?
Tom Keys: Romeo, in all fairness we’re not giving any guidance on 2010 and we have gone over the reasons why, so thank you.
Operator: Your final question comes from Will Power - Robert Baird.
Will Power - Robert Baird: I guess a follow-up question of source on churn, which actually held flat sequentially in Q3 whereas a normal seasonality would have it up. Is that just a function of Q2 being abnormally high or are there any other factors there that I should be thinking about it? Secondly, you talked obviously about the price promotions in the marketplace to help drive subscriber growth. Can you give any of the details around the handset rebate offers that are out there as well? Thanks.
Roger Linquist: I think we’ve gone over the detail on the churn. Both the second and third quarter are historically quarters that have the highest churn of the year just given the seasonality. Also following periods of higher growth, and remember when you look at the growth additions on the trailing nine month basis going into third quarters, we’ve been working through a very large growth blip, which has negatively impacted the churn. I did quantify for Mike earlier on the call, that a hundred basis points, I think the appropriate way to look at that is about three quarters being related to that incremental growth and the other quarter being related to other factors including competition.
Tom Keys: This is Tom and I will take the second part on the promotions and I appreciate the question. One of the things we got here for the forth quarter and the first quarter is we have a substantial increase and a rotation in the handset line up in the fourth quarter. We have got six of our OEMs going to be introducing new products, low end, mid range, high end; QWERTYs, touches, full feature phones. So, what we generally do is, we will have a sponsored promotion for a given time. In the next two months we have a Samsung promotion coupled with a Motorola promotion in December, and then MetroPCS has layered on a promotion for all handsets as well during that period of time, and they are all mail in rebate promotions. We’ve done this in the past. We see good results that bring people in, it gives them plenty of choice, but we also think importantly when they come into the store, they’re going to see up to 10 new handsets over the next 60 days, that are in the store, that are refreshed, that give people choice, and this is the absolute right time for us to rotate the handset line of as we go in the Q4, so we’re pretty excited about.
Operator: I would now like to turn the conference back over to Braxton Carter for closing remarks.
Braxton Carter: Thank you again for participating on today’s call. We appreciate your interest and support of MetroPCS and we look forward to our next quarter of continued progress. Operator.
Operator: Ladies and gentlemen, this concludes the MetroPCS Communications 2009 third quarter conference call. Thank you for your participation. You may now disconnect and have a pleasant day.